Operator: Welcome to Navitas Semiconductor Third Quarter 2021 Quarterly Results Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker, Stephen Oliver. 
Stephen Oliver: Thank you. Good afternoon. I'm Stephen Oliver, Navitas Vice President of Corporate Marketing and Investor Relations. Thank you for joining Navitas Semiconductor's Third Quarter 2021 Results Conference Call, our first as NVTS, a public company. 
 I'm joined today by Gene Sheridan, our Chairman, President and CEO; and Todd Glickman, our CFO. This call is being webcast on the Investor Relations section of our website at navitassemi.com/ir. A replay of this webcast, along with our 2021 third quarter earnings release, will be available on our website approximately 1 hour following this call, and the recorded webcast will be available for approximately 30 days following this call. Additional information related to our business is also posted on the Investor Relations section of our website. 
 Our earnings release and this presentation include certain non-GAAP financial measures. Reconciliation of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our earnings release, which is posted separately on our website in the Investor Relations section. 
 In this conference call, we will also make forward-looking statements about future events or about the future financial performance of Navitas. You can identify those statements by words like we expect or we believe or similar terms. We wish to caution you that such forward-looking statements are subject to risks and uncertainties that could cause actual events or results to differ materially from expectations expressed in our forward-looking statements. Important factors that can affect Navitas business, including factors that could cause actual results to differ from our forward-looking statements, are described in our earnings release. 
 Please also refer to the risk factors affecting Navitas discussed in SEC filings that were made in connection with our recently completed business combination with Live Oak Acquisition Corp. II, including the proxy statement or prospectus filed with the SEC by Live Oak on September 20, 2021. Our estimates or other forward-looking statements may change, and Navitas assumes no obligation to update forward-looking statements to reflect actual results, changed assumptions or other events that may occur except as required by law. 
 Now I would like to welcome Gene Sheridan, Navitas Co-Founder and CEO, to begin the main section. 
Eugene Sheridan: Thank you, Steve. After our IPO celebration and ringing the Nasdaq opening bell, this is our first earnings call as a public company. We'll share our third quarter and year-to-date 2021 results as well as describe the fundamental opportunity and unique differentiation Navitas possesses with our GaN power IC technology. 
 In Q3, our total revenue grew 61% year-over-year to $5.6 million and 128% on a year-to-date basis. Demand was solid in the mobile charging market with continued and growing business from Dell, LG, Amazon, OPPO, Xiaomi, Lenovo and dozens of other customers and received over 90% of the top smartphone and laptop customers designing their next-generation fast chargers with our GaN power IC. We are pleased with our growth trajectory and believe we will continue to double our revenues annually. 
 Our customers were targeting even faster growth in GaN chargers but were limited in Q3 by industry-wide silicon supply constraints. In Q3, we saw our customers launch 24 new GaN chargers, which includes major launches from the top mobile and aftermarket players. Last week, we announced our third-generation GaN power ICs, which integrates new GaNSense technology and is already being adopted in major customer launches. 
 And we are making good progress on our plans to expand into data center, solar and EV markets. Leading customers like Enphase Energy, Brusa and Compuware provided strong endorsements of our GaN power ICs and our excellent early adopter partners to Navitas. We are on track to sample these new higher-power GaN ICs this quarter to these and other top-tier customers in each of those target markets, which represent multibillion-dollar market additions to the $4 billion opportunity we've already identified in mobile and consumer. 
 Before I go into further details on the significant Q3 business highlights, I want to share a brief introduction on the opportunity and strategy for our GaN power IC technology. GaN is comprised of both gallium and nitrogen, which combined together to form an incredibly powerful bond that is 10x stronger than silicon with 2x higher electron mobility. In power electronics, this translates to semiconductor devices that run up to 20x faster than legacy silicon and enables up to 3x more power and 3x faster charging with greater energy savings and in half the size and weight. 
 Navitas GaNFast power ICs integrate GaN, power and drive plus protection and control to deliver simple, small, fast and efficient performance. Our GaN ICs enable speed and efficiencies that are far greater than silicon but also far greater than other suppliers' discrete GaN implementations. 
 Navitas has created this leading technology and #1 market position in GaN power ICs in just 7 years based upon a unique and proven founding management team that has worked together for decades. We've also developed a systems-driven approach to create application-specific GaN ICs, which offer more differentiation and value compared to other GaN suppliers that offer only a standard discrete with a multi-market approach. 
 Let's take a more detailed look at our progress and plans in each of our target markets. In mobile chargers for smartphones, tablets and laptops, we're pleased to announce an additional new 24 fast chargers using Navitas GaN ICs released to the market in Q3, taking the total to 164. We believe this to be more than all other GaN companies combined. These include 5 new chargers from Baseus, one of the fastest-growing aftermarket suppliers in the mobile charger space and includes the world's smallest 100-watt charger that supports Qualcomm Quick Charge 5.0. 
 Q3 launches also included significant new products from major mobile brands such as Xiaomi's Civi phone charger and Lenovo's YOGA laptop chargers. With Lenovo, we created an impressive co-op marketing campaign with GaNFast branding and Lenovo online and live stream video collateral. Today, we are very proud to announce a new strategic partnership with Anker, a global leader in fast-charging technology. Anker is both a long-time customer and an investor in Navitas. 
 This new agreement dedicates engineering teams at both Navitas and Anker to be co-located at Anker offices to develop and launch leading-edge GaNFast chargers with very short development times. The focus will be on next-generation mobile chargers but will also include expansion into high-growth energy storage markets. In fact, the partnership is already paying off quickly with 2 new GaN chargers launched in Q3, including a 30-watt smartphone charger, which is similar in size to the original 5-watt so-called sugar cube charger and 70% smaller than the standard silicon 30-watt. 
 Last week, we announced our third-generation GaN power ICs, which integrates GaNSense technology. GaNSense enables up to an additional 10% of energy savings as well as all-new autonomous protection circuits, which we expect to set a new standard in the industry for reliability and robustness not just for GaN but also as compared to all power semis across silicon, GaN and silicon carbide. This new technology builds on our already impressive track record with now over 30 million units shipped without a single reported GaN-related field failure. 
 Of greatest importance this morning, we are very pleased to announce a new category of mobile chargers defined as ultrafast chargers that have been developed and launched with our new GaNSense technology. This new category of chargers delivers over 100 watts efficiently to enable smartphones to achieve 0 to 100% charging in just 20 minutes or less. This is an incredible new industry development that will redefine the charging experience for consumers globally. The first such product was just announced by Xiaomi for the Note 11 Pro+. It's 120 watts packed in the size of a typical silicon 45-watt charger, 3x smaller than typical silicon-based 120-watt laptop chargers, yet achieved 0 to 100% in only 17 minutes. 
 In addition, these ultrafast chargers require double the GaN content per charger, which, of course, doubles the revenue opportunity for Navitas. By our estimates, we project this ultrafast charger category will represent up to half of the GaN potential in mobile chargers over the next few years. This translates to up to $1 billion per year out of the broader $2 billion per year mobile GaN charger potential. 
 More ultrafast chargers are in development now with our GaNSense technology and will be launched by a number of major brands in the coming months. With worldwide GaN shipments currently representing an adoption rate of only about 2% to 3% of this estimated $2 billion market, we have an incredible opportunity ahead of us in this segment. 
 From mobile applications, we believe there is a relatively easy transition and expansion to broader consumer applications, including TV, all-in-one PC, smart home devices and game consoles. Here, we access another $2 billion market, starting with designs like all-in-one PCs and TVs, where efficient slimline power supplies can enable the sleek design demanded by these applications. We anticipate first shipments of our GaN ICs into this broader nonmobile consumer market starting this quarter and ramping throughout next year. In particular, the change in TV screen technology from Ultra HD to 8K means a 4x increase in power needs. And GaN power ICs deliver that power in small, low-profile form factors. 
 Moving on to higher-power applications like data center. Our high-speed GaN ICs translate into shrinking the size of server power supplies, which creates more space for data processing with CPUs, GPUs and memory chips. However, the additional major value for GaN is driven by energy savings. Data center operators pay more in electricity per year than they do for the hardware itself. 
 Each efficiency point can be translated directly into significant running cost savings. And with GaN, typical efficiency can be increased by almost 10 points. In other words, about a 40% energy savings compared to silicon-based data centers. Worldwide, we expect to transition from silicon to GaN could save up to $1.9 billion per year with an extremely fast payback estimated to be around 2 months. 
 The leader in high-efficiency server power is Compuware based in Taipei with #1 share in designs that can achieve the highly efficient platinum and titanium classes of power supplies. Compuware declared that GaN is a breakthrough new technology that is enabling dramatic improvements in size, energy savings and power density and that Navitas is an excellent partner to Compuware with our industry-leading GaN ICs. 
 With over 13 million units of servers shipped each year, each with over $75 of GaN content, data centers represent another $1 billion a year opportunity for our GaN ICs. Given data center development times of 12 to 18 months, we anticipate our first data center designs using our GaN power ICs will start mass production ramps in early 2023. 
 Now let's turn to solar and energy storage. Renewable energy is critical for us all to reduce our dependence on fossil fuels. Enphase Energy, the world's leading supplier of microinverter-based solar plus storage systems, recently announced their plans to adopt GaN technology and their cooperation with Navitas. And they stated that it's the end of the road for silicon MOSFETs and that gallium nitride offers a tenfold switching frequency advantage at a significant system cost advantage. 
 Navitas estimates that GaN power ICs can reduce inverter cost by 25%, accelerating solar installation payback by about a year, and that the total residential solar GaN IC opportunity is over $1 billion per year. Given solar development times of about 2 years, we anticipate our first solar designs using our GaN power ICs will start mass production ramps in the second half of 2023. 
 Acceleration is also the focus in EVs or eMobility as we cover all opportunities from electric scooters and electric bikes to full passenger EVs. There are 3 opportunities for GaN power ICs in EV: the onboard charger or OBC, which charges the battery; the DC-to-DC converters, which convert from the battery to lower voltage to power in-car electronics; and the traction drive, which is the electric motor to move the car. 
 Our initial focus is on the OBC and DC-to-DC. One important power electronic supplier to EV customers worldwide is Brusa. Brusa publicly announced their intentions to move to GaN to meet future cost and performance needs beyond what is possible with silicon or silicon carbide. They also announced their strong validation of the benefits of our GaN power ICs for simplicity, reliability, speed, form factor and cost. 
 With a conservative estimate of $50 of GaN content per OBC, another $15 for the DC-to-DC converter and $200 for traction drive, we believe each EV represents over $250 potential GaN content and a market opportunity over $2.5 billion per year. Given EV development times typically of 4 years, we expect our first EV designs using our GaN power ICs to start their production ramp in 2025.
 Let's now turn to Navitas' team expansion and regional news. As the mobile market increases rapidly and the higher-power expansion markets of EV, solar and data center begin, Navitas' design, applications and sales support footprint are being strengthened and expanded. With confidence in the Navitas business model, we recruited these teams in advance of our IPO's capital raise. Since the start of 2021, we have now increased the team by over 50%, reaching over 150 highly skilled and experienced staff with an approximate 50-50 split between U.S. and Asia. This includes many with deep domain and system expertise in our expansion markets of data center solar and EV. 
 In China, we have tripled our Shenzhen facilities to support the significant growth we see in that region, including major expansion of our applications lab capacity, which we use with our customers and our supply chain partners to codevelop these next-generation GaN fast chargers. We are also investing in Europe, building a world-class sales, tech support and applications design center in that region. Europe is key to our plans for EV, solar, energy storage and even broader industrial applications. We expect to announce significant new business in that region soon. 
 And finally, I want to discuss the important topic of climate change and decarbonization. Today, only about 15% of our world's energy comes from sustainable sources utilizing electrical energy, while the balance is dependent on fossil fuels. We believe that ratio will reverse in the coming decades, and GaN is a critical element of this major energy transition. 
 GaN makes electrical energy faster, more efficient, and lower cost, all of which will serve to accelerate the world's transition from coal-fired power plants to solar and wind electricity-based energy sources as well as transition energy applications from gas-powered transportation, buildings and industrial factories to clean electricity-based energy, where GaN can have a significant impact. 
 GaN offers a carbon footprint that is up to 10x lower than that of silicon and makes all electrical energy uses faster, cleaner, more efficient and lower cost. You can anticipate major announcements in this area from Navitas in the near future as we look to take a leadership role within the semiconductor industry in driving this energy transition and electrifying our world. 
 With that, I'll hand it over to Todd Glickman, our CFO, for the financial update. 
Todd Glickman: Thanks, Gene, and thanks to everyone for joining us today on our first public earnings call. Let me take you through our third quarter numbers and guidance for Q4. 
 Revenue grew to $5.6 million, representing a 61% increase over the prior year's third quarter. Mobile demand remained strong. However, our customers were targeting over 1 million of additional demand in Q3, which they couldn't achieve due to non-GaN-related supply constraints. GAAP and non-GAAP gross margin was 46% in the third quarter, up from 38% in the same quarter of the prior year. We've been running about 4% to 6% on a non-GAAP basis during 2021, which is consistent with our strategy of delivering healthy margins and passing along cost reductions to our consumers during our high-growth early years and targeting a 55% gross margin long term. 
 With regard to expenses, we have expanded our sales and marketing teams to support new markets in data center, solar and EV while also expanding regionally into Europe. As such, our non-GAAP SG&A expense was $3.4 million in Q3, which is up from $2.2 million in the third quarter of 2020. Non-GAAP R&D expense was $5.7 million in the third quarter of 2021 compared to $2.9 million last year as we are developing multiple new generations of GaN ICs while also expanding our road map to include GaN ICs for data center, solar and EV. Putting all this together, non-GAAP net loss from operations was $6.5 million compared to a net loss of $3.7 million in the third quarter of 2020. 
 Turning to the balance sheet. We ended the quarter with $11.1 million of cash on the balance sheet and inventory of $11.7 million compared to $2.2 million a year ago as we put in place significant inventories to prepare for customers' aggressive growth plans, some of which were constrained by non-GaN supply chain limitations. 
 Moving on to guidance. For the fourth quarter of 2021, revenues are expected to be $7.4 million, plus or minus 5%, which represents approximately 60% growth compared to prior year, over 30% sequential growth from Q3 and more than double our revenue from 2020 on a full year basis. Our guidance factors in continuing customer non-GaN supply chain challenges as we believe this will continue for the next few quarters. I'd also like to mention that we have posted an Excel spreadsheet showing our historical quarterly financials and seasonality. 
 GAAP and non-GAAP gross margin is expected to be approximately 44% in the next quarter. We expect sales of our gen 3 GaNSense ICs will reduce costs as we move into 2022 and help offset some of the cost increases we have seen in our supply chain. A transition to gen 4 in the second half of 2022 should help with our margin expansion plans. In the long term, as our business grows and industry-wide supply and demand come back in a better balance, we continue to target 55% gross margins. 
 Finally, after the quarter, we completed our de-SPAC business combination on October 19, with approximately 117.7 million shares outstanding. We expect our basic and diluted share count in Q4 to be approximately 97 million. The majority of our shares outstanding are held by major shareholders and executive management and are currently subject to a lockup for up to 1 year and up to 3 years, respectively. Cash, cash equivalents and investments post de-SPAC totaled approximately $260 million, net of deal-related expenses. 
 Additionally, we have $30 million in restricted assets, which is expected to be converted to cash through a forward purchase agreement. We are pleased to now have the balance sheet in place to support our aggressive growth. 
 In summary, I'm pleased with our growth, but we have only scratched the surface of moving the market from silicon to GaN and are excited about the future ahead. I add my thanks to our worldwide employees, partners and customers for their hard work in driving change and bringing us one step closer to electrifying our world. 
 Gene and I are now ready to take your questions. Operator, let's begin the Q&A session. 
Operator: [Operator Instructions] Our first question is from Ross Seymore with Deutsche Bank. 
Ross Seymore: Gene, thanks for walking through all those long-term drivers. I'm going to focus a little more on the nearer term with my question though. Todd, you talked about some of the non-GaN-related supply issues. Can you go into a little bit more detail on that? Is -- we've heard from other folks that there's a little bit of excess inventory, so too much supply, not too little on the charger side of things, but it seems like you're pointing to the opposite of that. And in the duration that you talked about lasting for another few quarters, could you explain a little bit on that as well? 
Eugene Sheridan: Sure, Ross. I can handle that. Thanks for your question. This is Gene. I think there's a lot of components used inside of GaN charger besides the GaN chip, of course. I'd say the primary shortages have been with the silicon controllers. There's actually multiple silicon controllers used on the primary side; on the secondary side, the PD controller. So that's where most of the limitations have been, although we see even nonsilicon, nonsemiconductor challenges popping up from time to time. 
 With all of that said, I think our customers are making really good progress to approve new sources of supply. So they have many options to make sure they can satisfy the need for those non-GaN chips and free up some of these constraints, but it's still our best guess and our customers' feedback to us that it's probably 2 or 3 quarters of constraints, which we factored into the guidance that Todd described. 
Ross Seymore: Great. And I guess you mentioned -- I think Todd said 1 million units that they had demand for that they couldn't ship for the size and the duration side of things. Was that correct? Did I hear that, Todd, correctly? And the duration before this is fixed? Is this something that's another quarter or 2 quarters? What's your best guess on that front? 
Todd Glickman: Yes, that is correct. It was 1 million units. Duration, we expect to sort of -- to come back on track and going forward to all of our forecasts. 
Operator: Our next question comes from Tristan Gerra with Baird. 
Tristan Gerra: You talked notably during your Analyst Day that you expect price breakeven with silicon a couple of years from now. But clearly, adoption is in the waiting for that price breakeven. So clearly, your customers are realizing the benefits. Is this like silicon carbide where the adoption rate in automotive is happening because of the gain in performance despite the price premium? Or do you expect a further inflection point once you reach price parity because it's just going to accelerate demand? If you could just give us a sense of how many people are waiting just for price parity versus just using your technology for the advantages that it offers. 
Eugene Sheridan: Yes. Great question, Tristan. And I would say certainly in the mobile market, the value is clearly high. And so even with a modest premium as we have today, we see a lot of growth in adoption. I'd say that's all of the premium market and a large percentage of the mainstream, you might call mainstream market. But I think as you get into the low end of mainstream and the really low end of the markets, they're going to be more price sensitive. At least from our view, to be confident that we get the full transition from silicon to GaN that we expect, that cost transition is important. 
 I'd also say it's more important in the nonmobile consumer. In that case, of course, you're not carrying around the power supply. You're not charging a battery. So the value point is going to be a little tougher. It's going to be a little bit more price sensitive. For that reason, we've been pretty conservative in our outlook for nonmobile consumer, but there's a lot of untapped potential there as we cut that GaN premium down lower and even match silicon and go below silicon in the next 2 years, as you described. 
Tristan Gerra: And then for my follow-up question. So you talked about gross margin, basically some impact related to the shortages. Then it sounds like it might continue in the first half of next year and then expansion into the second half, notably with next-gen products. So should we be looking at -- I know you're not guiding beyond this quarter, but should we be looking at gross margin stabilizing in the range of that 44% to 46% that you've been showing this year into the next few quarters and then maybe a little bit of an inflection point after that? 
Todd Glickman: Yes. Good question, Tristan. We do expect it to have more information for you after Q4 earnings, but we're currently projecting a flat to slightly better margin year-over-year as the margin expansion from the new generation of GaN ICs will be partially offset by the increase in supply chain cost. But our goal continues to be to drive the GaN premium from silicon to 0 in the next 2 to 3 years and achieve a long-term margin of 55%, and we're on track for that. 
Operator: Our next question comes from Richard Shannon with Craig-Hallum. 
Richard Shannon: Congratulations on a nice start to your public life here. Maybe a couple of tactical questions before I get into 1 or 2 more fundamental longer-term ones here. In terms of your guidance here for the fourth quarter, you've got a meaningful uptick in -- measured in quarter-on-quarter growth here for the last few quarters. Is this driven by seasonality or these new wins or other factors? You just mentioned in the last couple of questions about supply probably not really easing to help you there. So maybe if you can give a sense of what's driving this increased sequential growth here for the fourth quarter. 
Eugene Sheridan: Sure. Yes. Richard, thanks for your question. And yes, it's driven really by both seasonality. I think we'll always expect, as we saw last year, the second half of the year will tend to be bigger, in particular, in Q4, than the first half. We'll see that pattern again this year and likely next year. But there are -- and that's, of course, because of specific launches that tend to be holiday based in the mobile and consumer space, in particular, as we highlighted many new products, 24 new products launched in Q3. Of course, there's many more coming in Q4, but even the Q3 launch has helped to really drive a lot of the Q4 revenue. Those Anker products we talked about, the Baseus products, especially the Xiaomi ultrafast charger really leading an all-new category in that space. And as I said, there's many more coming that we can't announce but would cover in the Q4 earnings release. 
Richard Shannon: Okay. Great. That is helpful. Another quick question on the financials here on OpEx. You've kind of guided to fourth quarter non-GAAP OpEx of $10 million here, obviously adding some staff here, and maybe that's continuing. How do we think about this as this trends into the first part of next year? 
Todd Glickman: Yes. Great question. As we continue to grow and move into new markets, we expect to grow OpEx both on the R&D side and the SG&A. Long term, we expect OpEx to represent around 30% of revenue, and that's our long-term business model. 
Eugene Sheridan: If I could add, I think you can also expect -- as you implied, we're in investment mode, and so there's OpEx growth that goes with that. But the OpEx growth will likely be slower than the revenue growth, leading towards that business model, as Todd described it. 
Richard Shannon: Okay. That's fair enough. Gene, a question for you. You had a nice announcement here recently with Xiaomi, and then you just talked about Anker today in your prepared remarks. Maybe you can talk about the kind of the change in partnership models you have with those 2. And then if you can combine it with one of your comments on the call here about 90% of all OEM and aftermarket laptop and phone charger players are using Navitas. Does this imply any sort of entirely or mostly exclusive relationships with one or more of your customers out there? 
Eugene Sheridan: Yes. So to give you a little bit more color as you started the question with Anker, we've done business with both. Actually, Anker and Xiaomi, of course, have been long-time partners and actually both long-time investors in our company. So the relationship goes back multiple years. With Anker in particular, we've taken it to the next level with the strategic partnership agreement, as I explained, with dedicated resources, dedicated labs and a much faster and bigger focus on really pushing the leading edge of next-generation fast chargers. 
 Our Xiaomi relationship isn't too different in that it's extremely close, long-standing relationship. And there's a lot of co-development that goes into those next-generation chargers. As you know, we do a lot more than offer the GaN IC but actually offer a lot of system value and assistance in creating those next-generation chargers. With that said, we see them both being pretty significant going forward in our revenue into next year. Was there a second part to that question? 
Richard Shannon: No, I think you -- well, I guess any sense of exclusivity with any of these customers you mentioned or other ones that's coming more in your direction, I guess. 
Eugene Sheridan: Not a formal exclusive arrangement. But as you know, there's nobody that is directly second sourcing our GaN IC. All other competitors are using discrete-based GaN implementations. So by definition, as they design in our GaN ICs, it's most commonly sole sourced or exclusive business. It is possible in some cases to create dual sourcing by 2 different system designs. And sometimes that could be a smart strategy to help give the customer a multi-source strategy if they really need it for very high-volume programs. 
Richard Shannon: Okay. That's helpful. My last question, and I'll jump out of line here, is on GaNSense. I guess a quick question here is -- I think you've explained the kind of added functionality here at a high level. It was at the level that I can understand here. But maybe you can kind of break it down to financials here. Can you give us a sense of how much this is an add or 2 to ASP and how much this improves, if anything, on system costs or other system characteristics? 
Eugene Sheridan: Yes. Yes, definitely. So fundamentally, you can kind of look at the higher level of integration into 2 buckets. They're driving-related circuits, which we already had integrated. These are all the analog circuits related to drive, can be things like drive-level shift to bootstrap and others. But now we've added a whole another second layer of sensing. The sensing means real-time, accurate dynamic measurement of things like voltage, current and temperature. And with that information, sensed right on the GaN chip, we can immediately react to any dangerous condition to prevent any damage to the GaN chip or the system around it. But we can also do real-time performance optimization, actually do something called lossless current sensing, a feature we didn't highlight, but it's very fundamental to this new sensing technology. 
 So to your earlier question, lossless current sensing actually boosts efficiency and saves costs at the same time. So this actually GaNSense does not result in an increased price because all of these added benefits are going to the customer actually at a lower GaN cost and system cost than the prior generation. So it's quite a great deal for the customer to continue down the cost reduction path, continue down the energy-saving improvement path and get significant protection and reliability circuits virtually for free for the customer. So I think that's a good summary of what that's doing for the customer, what it means for price and cost points to the customer. 
Operator: Our next question comes from Quinn Bolton with Needham. 
Quinn Bolton: Gene, I guess I wanted to come back to your prepared script. I think earlier in your script, you talked about the ability to double revenues over, I think, sort of multiyear period. Just wanted to make sure I heard you correctly, understanding that it's probably not formal guidance, but just wanted to make sure I understand your kind of longer-term framework. 
 And then a second question. Given the shortages on the controller side, is the company contemplating potentially going out and making acquisitions or perhaps forming partnerships with certain controller companies to try to alleviate some of those constraints that are affecting the demand for your products at this point? 
Eugene Sheridan: Yes. Great questions. Thank you. Yes. On your latter question, we do -- obviously, the IPO has created a lot of excess capital, you might say, or dry powder, whether that means strategic internal investments or external ones or M&A. That creates a lot of possibility for us. But with that said, we're seeing a huge appetite and interest from many silicon controller companies to make GaN-specific or GaN-compatible controllers given the huge volume that's coming and the shortage that they want to fill quickly. 
 So we think short term, there's plenty of options coming to the table to our customers to solve those gaps. But long term, there are some pretty interesting strategic things we can do headed towards our own mission of being a next-generation power semiconductor company, and that could go beyond GaN, as you implied. 
Quinn Bolton: Great. And then just a clarification on that comment in the script about kind of your longer-term growth opportunity. 
Eugene Sheridan: Yes, you did hear it right. That is our estimate right now, and that's factoring in some of the constraints that are at least likely to exist going into next year. But even with those constraints, our best estimate is a minimum of doubling going forward. 
Quinn Bolton: Great. And then for Todd, I just wanted to clarify the gross margin outlook, understanding you're not giving guidance into 2022. But I think you made a comment that you saw gross margins flat to increasing on a year-over-year basis. And so I just want to make sure. If I look back at the model, it looks like you were sort of in the 46.5% range for the first half of 2021. Are you sort of implying you think it's back above that 46.5% level in the first half of 2022? Or did I mishear you? 
Todd Glickman: So when sort of looking at next year, we're looking at to be flat on the full year of 2021. And as you're noticing in '21 is the second half is slightly lower than the first half. Now this is driven by Tier 1 customers ramping up in the second half versus aftermarket, more in the first half of the year. And so those are the main drivers. But we do expect it to be sort of flat and with slightly better margins year-over-year going forward. 
Operator: Our next question comes from Kevin Garrigan with Rosenblatt Securities. 
Kevin Garrigan: Congrats on the quarter and on the IPO. I just had 2 questions. The first on the product side. Can you kind of give us a sense of the expected life cycle for a smartphone power supply? Can it kind of be used over multiple generations? Or does the design need to be won with every kind of new iPhone or a new phone model? 
Eugene Sheridan: Sure, Kevin. Good to hear from you. Yes, I'd say the life cycles are typically running 1 to 2 years on average. It can be a little less. It can be up to 3 years. That life cycle doesn't mean it's a completely new design. Oftentimes, there are refreshes, reusing a lot of the same architecture technology. Of course, GaN has created a disruption this market is not used to. So we're seeing major redesigns when you go from silicon to GaN. But once we get that first GaN design, there's, of course, a really good strong likelihood and a pattern that we see of a reuse to proliferate that either in the refresh of that model or, of course, into many new models. 
Kevin Garrigan: Okay. Got it. That's very helpful. And then just as a follow-up, are you guys directly supporting and selling to your customers? Or are you working kind of more through the distribution channels? 
Eugene Sheridan: Yes. Great question, actually. And distribution globally is actually pretty important, primarily as a fulfillment partner. Customers still expect logistics and inventory support for those customers around the world, but our product is very much a technical sell. And it's not just at the GaN level but at the system level. We're very hands-on to offer system design, support of the entire GaN charger. For some customers, that might mean we do the whole thing for them and others, and very often, it's a co-development approach. So it's very much a direct relationship with the end OEM or the brand name that you might know as well as their selected partners, which are often called ODMs. 
 With that all said, we continue to build out a stronger and stronger ecosystem. So our distributors are actually investing in more applications engineers, anxious to learn this new technology, become more value-added, and that can actually be very important as we're seeing a long tail of GaN customers extending up into Tier 2, Tier 3 smaller customers and also a wider range of applications. So having a bigger network of distributors as well as ODMs that are familiar with how to do the GaN-based system design is very valuable for us, for the industry and makes our business very scalable as we grow. 
Operator: All right. Our last question is from Natalia Winkler with Jefferies. 
Natalia Sukhotina Winkler: The question I had was on the automotive opportunity for you guys. Appreciate that the types of customers are a little bit different and the sales funnel is probably a little bit different from the fast charging market. So I'm just curious, how do you guys see your competition in that space? And specifically, how do you view the certification process for your devices, if that is something that plays into the time line of the adoption as well? 
Eugene Sheridan: Yes. Thanks, Natalia, for the question. As you alluded to, the development cycles are longer. The emphasis on reliability and certification testing is even more critical. From our view, that really plays into our strength. We've actually overdesigned our GaN technology for the mobile market, which obviously is sort of 1-, 2-, 3-year life. And that's reflected in the fact that we've shipped 30 million units without a single GaN-related reported failure. 
 I mean that was designed that way, anticipating the higher reliability markets that we're now moving into. GaNSense, the new generation we've just announced, only adds to that strength with even more built-in protection, reliability, all of which is going to help us to pass any certification tests and automotive-specific tests that our customers might want to perform over time. 
 And as we mentioned in the prepared remarks, some customers like Brusa had even said, silicon carbide and silicon can't meet their needs for the future. GaN is the answer in terms of pushing cost, performance and reliability. So it puts us in a good position to get through any of these certification tests and drive that adoption over the next few years. 
Operator: And I'm not showing any further questions in the queue. I will pass it back to management for any final remarks. 
Eugene Sheridan: Thank you, operator, and thanks to everybody for joining our first public company earnings announcement. It's an exciting time for the company. And we want to wish you -- to all, go GaN fast and electrify our world with us. Thank you for attending. 
Operator: And with that, ladies and gentlemen, we thank you for participating. You may now disconnect.